Operator: Good afternoon. And welcome to Medifast Second Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Reed Anderson with ICR. Please go ahead.
Reed Anderson: Good afternoon, and welcome to Medifast second quarter 2022 earnings conference call. On the call with me today are Dan Chard, Chairman and Chief Executive Officer; and Jim Maloney, Chief Financial Officer. By now, everyone should have access to the earnings release for the quarter ended June 30, 2022 that went out this afternoon at approximately 4:05 PM Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Medifast’s website at www.medifastinc.com. This call is being webcast and a replay will be available on the company’s website. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The words believe, expect, anticipate and other similar expressions generally identify forward-looking statements. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Actual results could differ materially from those projected in any forward-looking statements. All of the forward-looking statements contained herein speak only as of the date of this call. Medifast assumes no obligation to update any forward-looking projections that may be made in today’s release or call. And with that, I would like to turn the call over to Medifast’s Chairman and Chief Executive Officer, Dan Chard.
Dan Chard: Thank you, Reed, and good afternoon, everyone. Thank you for taking time to be with us. On the call with me today is Jim Maloney, our Chief Financial Officer. I'll start with an overview of the second quarter and the continued evolution of our business, then Jim who will run through our financial results in more detail. Following our prepared remarks, we will open up the call to take your questions. Second quarter results were strong with revenue up 15% to $453 million, another company record, driven by continued growth in the number of OPTAVIA Coaches. Active earning coach numbers reached 68,000 in the second quarter, a 14.9% increase versus a year ago, and up 6.4% sequentially from the first quarter of 2022. Revenue per active earning coach, which is a measure of productivity of coaches supporting customer's was $6,667, slightly above levels in the prior year period and up 2% sequentially. Moving to our financial results. Earnings per share of $3.87 on an adjusted basis were better than expected and just below the $3.96 we reported in the second quarter of 2021, reflecting the impact of some short-term transitional factors on near-term gross margins as discussed last quarter. We've seen impressive results from our essential start customer acquisition program, which launched in March of 2022 and extended through May 10th. The program was highly effective in attracting a new cohort of customers in the first and second quarters. We first leveraged a program similar to this in April of 2020 at the height of the pandemic to both attract new customers to OPTAVIA and to reactivate lapsed customers who are interested in reengaging with the coach and the OPTAVIA program. The data and learning we gathered from the original cohort provided valuable insights that were integrated into this year's program. The benefit of programs such as these is that they create new and engaged customers, a portion of whom become new coaches who go through the coach directed training program and they, in turn, extend their reach to additional new customers. This creates a highly effective flywheel that drives the growth and rhythm of our business. While we achieved our customer acquisition objectives during the quarter, clearly, the macro environment has become more challenging for global businesses over the past several months, largely reflecting the impact of rising inflation related factors, which is putting more pressure on consumer spending. While we remain confident in the long-term strength of our business, were not immune to these near-term pressures. In the latter part of the quarter, we saw some moderation in our customer retention curves that impacted our growth trends and our revenue outlook for the remainder of the year. We are tracking these trends closely as we move through the third quarter and taking some intentional steps to mitigate the impact. This includes the launch of a coach accelerator bonus program to promote new coach [ph] sponsoring and client acquisition. This program is a variation on the business builder program we have traditionally used during the second half of the year, and we believe this initiative will be beneficial to customer retention as we move through the year.  Clearly, the world has experienced a range of macroeconomic uncertainties that have impacted businesses, including ours over the last number of years. Generally speaking, following these moments of disruption, we have seen retention rates return to historical norms within two to three quarters. Early indications from the data in Q3 are that we are seeing a stabilization in retention rates and we're looking to drive a return to more normal levels as we move through the year. Cost pressures relating to raw materials and transportation are also impacting short-term margins, and we are reducing our full year 2022 profit outlook accordingly. The disruptive economic environment, is unfolding rapidly. And with the ongoing impact of rising inflation and waning consumer sentiment, economic growth remains uncertain. However, the global health crisis remains a long-standing issue which continues to drive consumer focus in spending.  Despite the challenges of the macroeconomic environment, we still expect to deliver growth and capture additional market share this year generating high levels of profitability and excess cash flow. While the current environment is certainly turbulent and then settling for capital-intensive businesses, our variable cost structure allows us to adapt quickly to the changing business environment. With that in mind, we have already made adjustments to our manufacturing, distribution and customer support infrastructure to reflect our revised outlook. With these adjustments, along with other profit improvement initiatives currently underway, we believe we will be able to effectively adjust to achieve our long-term profitability goal of 15% operating margin. Despite the short-term pressures as a business, and the leadership team, we remain confident in our ability to drive long-term value. The $100 million accelerated share repurchase program we recently announced provides strong evidence of our confidence and in our commitment to continue the growth of the company and our steadfast belief in the strength of our strategy. One of the many reasons for our confidence is the clear differentiation of our model. We do not offer a one-size-fits-all approach, but instead, our OPTAVIA Coaches provide customized support to customers who want to transform their health. Personal Coaching is offered within a setting of supportive community and is underpinned by clinically proven plans that help support lifelong change. This is a special sauce that makes OPTAVIA such a powerful force for transformational change and our initiatives in the field to underpin that. We believe that there is a significant opportunity to increase the productivity and reach of our coaches, and we are currently working on a number of initiatives designed to enhance that effort. Since the launch of our new business model through the OPTAVIA brand in 2017, productivity as measured by revenue per active earning coach has increased over 50%. Our OPTAVIA coaches have leveraged our powerful customer-facing brand and reformulated product line to support their coaching services. They have used social media and video conferencing to share the OPTAVIA message. Business coaches in turn, recruit and train new coaches who use our data and technology platforms to support their customer bases. Our expanded supply chain capacity and capabilities bring deeper consistency to customer service and give coaches the confidence they need to continue focusing on building their businesses efficiently and effectively. Digital capabilities continue to be a high priority for the business, helping to drive deeper engagement and seamless connectivity across our OPTAVIA community of coaches and customers. The OPTAVIA app, which supports customers on their health transformation journey continued to show strong momentum in the second quarter, with downloads increasing 13% sequentially to 158,000. Total number of users was up 24% over the same period, reaching 288,000 with the number of new users increasing by 10%. The – the new mill tracking feature went live in the second quarter, and we continue to expand our lean and green catalog to include 170 unique recipes. Coach has continued to increase their usage of the OPTAVIA Connect app in the second quarter as we rolled out several new features to enhance their ability to serve and engage with our customers. We now have over 25% of our coaches leveraging the app to support their business. This app acts as a complement to the desktop app that a majority of our coaches used to efficiently manage their customers. Over time, we anticipate that these two complementary technology platforms will be increasingly effective in supporting the continued productivity of our coaches. The impact of our growth was visibly demonstrated last month at our annual OPTAVIA Convention in Atlanta. Attendance was outstanding with over 17,000 attendees participating in person and virtually. The OPTAVIA Convention features keynote addresses from company executives and independent OPTAVIA coach leaders as well as field led education sessions and panel discussions. For the second consecutive year, the company offered a coach-led education session in Spanish, as we continue to expand into Hispanic-centric segments inside the United States. We were able to more than double the participation in that session versus last year. This is an important benchmark in our expansion strategy, which focuses on building out the Hispanic segment in the United States in anticipation of future international expansion supported by US-based coach leadership and Spanish-speaking support infrastructure. As previously communicated, our customer support call center network now has a global footprint with support infrastructure is providing multilingual support from the United States, Guatemala, Colombia and the Philippines. With the continued expansion of our coach support infrastructure and the potential of future expansion into other international markets, including Spanish-speaking markets, there's clearly huge potential outside the U.S. domestic market for many years to come. We're proud of what we have already achieved over the course of the past few years, rising to become the current leader in revenue in the $7 billion weight management category. It's a testament to the strength and effectiveness of our model and galvanizing people in their determination to achieve their health goals. However, we continue to set significantly greater goals for ourselves. We are expanding our efforts to the broader health and wellness arena and leveraging our current market leadership position to drive further growth. We recently made several key additions to our scientific advisory board that will be instrumental in targeting important segments within the $230 billion health and wellness industry. Three new individuals that joined our Scientific Advisory Board, bring significant expertise in health focused technology and behavior health areas that are closely aligned with our growth initiatives around digital engagement. Our investments in technology and infrastructure continue to position us for consistent growth. This includes our new distribution center in Fort Worth, Texas that is on track for completion and automation by the end of this year. We anticipate that our push on manufacturing and fulfillment capacity will achieve our goal of supporting a $2.5 billion annual revenue business by the end of the year. We remain confident in our long-term mid-teens revenue growth and 15% operating margin targets. To deliver those results, we will continue to focus on attracting and supporting customers with our personalized habit of health coaching model, coupled with incremental gains from entering new demographic segments and penetrating the broader health and wellness market as well as through international expansion. I'll conclude my remarks with an update on corporate social responsibility activities. I'm proud to say that Medifast, along with our coach community has hit a new milestone providing up to an equivalent of 11 million nutritious meals to kids in need through our partnership with No Kid Hungry. At the same time, the unfortunate events in the Ukraine have continued to have an impact on millions of people globally. To support those affected by the crisis, we committed to donating OPTAVIA fuelings to assist the humanitarian efforts caused by the Ukrainian conflict through our non-profit partners such as Good360. Good360 works with many large corporations to mobilize donations to qualified recipients and affected by disasters around the world. Our thoughts go out to the people affected by this crisis. We are working with our non-profit partners to determine the amount of additional donations of OPTAVIA fuelings in the second half of 2022. We have also made substantial progress on the healthy habits for all curriculum, modeled after the habits of health and developed in partnership with former educators and subject matter experts. In July, the curriculum launched to a network of teachers nationwide providing lesson plans that help teach kindergarten through fifth greater students how to create healthy habits. Teachers can have a profound impact on the trajectory of their students' lives with the healthy habits for all curriculum, where we put teachers with an important tool and in turn, given future generations, life-changing knowledge. Couple this with greater access to critical resources children will be better prepared to make healthy choices a reality regardless of their socioeconomic background. Our hope is that students will continue to be inspired to share what they have learned with their family, friends and neighbors, creating a ripple effect that will transform and enrich lives and ultimately create healthier communities one healthy habit at a time. In conclusion, the second quarter was another step towards our long-term goals. We remain focused on our mission of transforming people's lives for the better, helping them be successful in achieving and maintaining their healthy weight and learning other healthy habits setting a stage for significant expansion into the broader $230 billion health and wellness market. Our compelling business model continues to be supported by an experienced leadership team and dedicated employees and 68,000 passionate OPTAVIA coaches focused on enhancing lives one healthy habit at a time. With a strong balance sheet and a robust capital allocation strategy, we believe that we are well positioned to drive value for stockholders and confident in the future. With that, let me now turn the call over to Jim Maloney, who will walk you through the financial results. Jim?
Jim Maloney: Thank you, Dan. Good afternoon, everyone. Revenue in the second quarter of 2022 increased 15% to $453.3 million from $394.2 million in the second quarter of 2021. We ended the quarter with approximately 68,000 active earning OPTAVIA coaches, an increase of 14.9% from the second quarter of 2021. Average revenue per active earning OPTAVIA Coach for the second quarter was $6,667, slightly above year-earlier levels and up sequentially. Coach growth and productivity continued to rise in the quarter driven by successful customer acquisition program and growth in the number of customers supported by each coach. Gross profit for the second quarter of 2022 increased 9.5% to $321.7 million compared to $293.7 million in the prior year period, reflecting strong revenue growth, partially offset by increased cost of sales. Gross profit margin was 71% in the second quarter of 2022 versus 74.5% in the comparable prior year period. The 350 basis point decline in gross profit margin was attributable to customer acquisition program run in the quarter, and the elevated product and labor expenses as a result of continued inflationary pressures. SG&A expenses for the second quarter of 2022 increased 17.4% to $272.7 million compared to $232.3 million for the second quarter of 2021. SG&A as a percentage of revenue increased 124 basis points year-over-year to 60.2% versus 58.9% in the second quarter of 2021. Non-GAAP adjusted SG&A increased $31 million to $263.3 million, and non-GAAP adjusted SG&A as a percent of revenue decreased 84 basis points year-over-year, to 58.1%. The increase in non-GAAP SG&A was primarily due to higher OPTAVIA Coach compensation expense, incremental costs related to the continued investment in information technology and distribution, and increased credit card fees resulting from higher sales. Income from operations decreased 20.3% compared to the prior year period, or $12.5 million to $49 million, primarily as a result of increased SG&A expenses, partially offset by increased gross profit. Income from operations as a percentage of revenue was $10.8 for the second quarter of 2022, compared to 15.6% in the same period in 2021. Non-GAAP adjusted income from operations, which excludes the Ukrainian donation decreased $3 million to $58.4 million. Non-GAAP adjusted income from operations as a percentage of revenue was 12.9%, a decrease of 270 basis points from the year-ago period. The effective tax rate was 19.8% for the second quarter of 2022, compared to 23.4% in the prior year second quarter. The decrease in the effective tax rate was primarily driven by a tax benefit for Donations in the quarter, partially offset by a minimal increase in various other items. The non-GAAP effective tax rate was 23.9% as compared to 23.4% in the prior year period. Net income in the second quarter of 2022 and was $39.1 million, or $3.42 per diluted share, compared to net income of $47 million, or $3.96 per diluted share in the prior year's second quarter. The non-GAAP adjusted net income was $44.3 million, or $3.87 per diluted share. As Dan mentioned a minute ago, the company announced an accelerated share repurchase agreement on June 1 to repurchase $100 million of the company's outstanding common stock with approximately 480,000 shares repurchased as of June 30th, 2022, in the final settlement expected no later than October 2022. Additionally, on June 16th, the company's Board of Directors declared a quarterly cash dividend of $18.6 million, or $1.64 per share, which is payable on August 8th, 2022, to the stockholders of record on June 28th, 2022. This represents a 15.5% per share increase compared to the second quarter of the prior year. Turning to our balance sheet. We believe our financial position remains strong with $61.1 million in cash, cash equivalents and investment securities and $27 million in debt as of June 30th, 2022, compared to $109.5 million in cash, cash equivalents and investment securities and no debt at December 31st, 2021. The change in net cash is largely attributable to execution of the accelerated stock repurchase program announced on June 1st. I will now turn to our guidance for the full year 2022. Dan discussed the macroeconomic environment has become challenging over the past several months, and we have recently experienced some moderation in customer retention and accordingly have decreased our second half of the year outlook. We expect full year revenue in the range of $1.58 billion to $1.66 billion and diluted non-GAAP EPS to be in the range of $12.70 to $14.10. Again, we believe that we, along with our 68,000 Coaches will be able to navigate the macroeconomic environment in the coming quarters. So we are confident in our long-term growth targets in the mid-teens. We also believe we will be able to achieve 15% operating margin in the long-term. Despite short-term margin pressures this year from continued investment in technology and supply chain infrastructure along with inflation. Our guidance assumes a 24.25% to 25.25% effective tax rate. If you are attempting to develop a financial model for the remainder of 2022, from a topline basis, we believe Q3 2022 will have a mid-teen double-digit decline year-over-year because of the moderation in customer retention. We expect slight growth in Q4 as we start to build momentum for 2023. Finally, as a reminder, several weeks ago, the OPTAVIA convention was held and will increase SG&A expenses in Q3 2022. In closing, we remain confident in the strength of our model to drive consistent growth and profitability and are well-positioned to capitalize on the significant opportunities that lie ahead. As we look to the future, we focus on building long-term value for stockholders as evidenced by our recent capital allocation activities, further demonstrating our confidence in our outlook while enhancing lives one healthy habit at a time.  With that, let me turn the call over for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Stephanie Wissink at Jefferies.
Chris Neamonitis: Hi, morning. It's Chris Neamonitis for Steph. Thanks for taking the questions. I just want to take a look kind of stepping off the second quarter. Obviously, you just mentioned Jim, that the guidance calls for double-digit declines in the third quarter. So, maybe help us reconcile how that works and maybe a little more color in terms of the step change following a pretty strong 15% growth quarter? Can you maybe just talk about the trends you saw in kind of pretty big step function down.
Jim Maloney: Yes. So thanks for the question, Chris. The reason we're calling out a double-digit decline in Q3 is because we -- when we look at the history of macro events, we have seen when you think about the pandemic, we saw that our retention rates of customers dropped at the beginning of the pandemic, and it took, I'll call it, six months to recover fully. But through that time, we saw there was a deeper issue in the early months and then it got better over time. So, even though this is different than the pandemic, we do have some data points early on in Q3 that retention rates are stabilizing and that's a good sign that we can build back to a more normal level of retention rates later on this year.
Dan Chard: Chris, maybe even a slightly, kind of, a different way of looking at it, but consistent with what Jim just said. As you know, our model depends on bringing in a healthy number of new clients. That happened in Q1 and Q2, which was reflected by our guide up after Q1 and as we went through Q2, we saw the demand for the product to continue to increase. The stub function down was really related to what we talked about earlier, which is, I'll say, a little bit of a shock to the system as consumers began to feel the effect of the inflation. What that did was that those customers who have been brought in a disproportionate number didn't repeat after the first month. But not only did that happen, there was a group even in those previous cohorts of customers who also did not repeat when we would have expected they would. So it basically creates a significant downward pressure on the productivity per active earning coach because there are fewer clients or customers in the system. And so that's -- that change to overcome that change, we need to reestablish the cadence of the business, which starts over again at attracting clients and remember that's the program that we have in place now is motivating coaches -- current coaches to sponsor new coaches and to bring in that new client base in that downward pressure in Q3 is reflective of beginning to reset that productivity that was lost as a result of that macro disruption to our retention curves.
Jim Maloney: Yes. So Chris, when you think of our customer acquisition program that occurred in March through May, we actually saw better-than-anticipated results during that time frame. So we can conclude that it's really not a demand thing that health and wellness is still a need for consumers and it's really the macro environment that is causing this moderation in retention rates. So hopefully, that's helpful.
Chris Neamonitis: That is. I guess, on specialty intrigued, just given kind of previous commentary around the acquisition program being so strong and repeat order rates holding up in line with historical. So I think you're saying that there was, in fact, a deviation from kind of that high 70%, mid-70% repeat order rates. But, I guess, looking forward, right to the back half of the year into 2023. What gives you confidence that these, kind of, repeat order rates will improve if, kind of, the underpinning reason is the macro. I think about if we move into a, kind of, a prolonged period of a tougher macro, what gives you confidence that you and the coach base can kind of overcome this?
Jim Maloney: I think the best example we have of going through a macro event like this is the pandemic that happened two years ago. What we saw in those initial months were an adjustment to, I'll say, consumer sentiment as they face something they hadn't faced before. We think that's what we're seeing now. We saw in the early phases or the early months in Q1 and the first part of the second quarter our retention curves held just like they normally would in a normal year. It wasn't until the news started getting bad, and they start filling, I think probably the simplest way of thinking about it is the effect when you put gas in your tank or when you go buy groceries. So what we believe is that, there will be some adjustments made, including decisions on how you -- and how -- and what the consumer spend on. And that just as before, the -- kind of Q2 shock, if you will, around inflation, that the spending on things related to health and wellness will be prioritized higher again, and that's what we'll bring it back in -- bring back our product, our service and our ability to grow back into focus.
Chris Neamonitis: Okay. Last one for me, just on the guidance. So could you give us a little more color on how you ultimately arrive to the numbers? I'm just curious about what it assumes in terms of trends from July, which I think you suggested things were stable. So should we take away that the guidance just takes July trends and run rates through the back half of the year? Is that the right way to think about it?
Jim Maloney: Yes. So the guide is taking into account what we saw in the latter part of Q2, because we don't have enough data points for Q3 to extrapolate that through the rest of the year at this point. But we -- as Dan mentioned, we are confident that there will be a normalization getting back to normal levels of retention, taking into consideration the -- what we've seen before with macro events.
Dan Chard: Just one other point that's important that we're watching closely, and it's reflected in the programming as well. Typically, in these kinds of environments, the attractiveness of a coaching business becomes enhanced. And we believe that will be the case here as well. So we're watching very closely how our conversion rates translate in this environment. And the program that we have running currently is reflective of that belief and helping move that along. So that's -- what I'd say is, we're not sitting back waiting to see what happens. We've seen the adjustments in people spending and we're making the adjustments as we have in the past, whether it's through a macro disruption or in some cases, disruption through some of our own operational initiatives and making the adjustments that will allow the business to kind of go back into a normalized state. So the confidence you're hearing about the return is the trends that we're watching. And also the historical success we've had with making the adjustments to the business and bringing the business and bringing the cadence of the attraction, the ability to support clients on plan, the conversion of coaches and developing the business consistently that we've been able to accomplish in the past.
Operator: This concludes our question-and-answer session. I will now turn the conference back over to Dan Chard for any closing remarks.
Dan Chard: I'd like to thank all of you who have been able to have joined, including employees, coaches and OPTAVIA clients. I just want to end with a few closing comments, as we move through the current quarter. As I said, while we experienced headwinds in the changing macro environment during the quarter, we've quickly made the adjustments to reflect the new market dynamics. We have a stated mission to expand our business in the broader $230 billion health and wellness segment by leveraging the Habits of Health Transformational System. And we believe that our outsized share and share leadership in the United States in the weight management category segment is reflective in our access and expanding beyond those who simply want to lose weight. And we're actively building new segments in the United States with a particular focus on the Hispanic segment. And we view this as preparation for future steps on international expansion. And lastly, we continue to invest in technology that we believe will support our long-term -- the long-term productivity of our coaches. So we look forward to sharing the results of our current quarter and our progress against our long-term goals, as we move through this quarter and have our next earnings release. Thank you, everyone, for joining.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.